Operator: Good day and thank you for standing by. Welcome to the Great Lakes Q4 and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.  I would now like to hand the conference over to your speaker today, Ms. Tina Baginskis. Ms. Baginskis, the floor is yours.
Tina Baginskis: Thank you. Good morning and welcome to our fourth quarter conference call. Joining me on the call this morning is our President and Chief Executive Officer, Lasse Petterson and our Chief Financial Officer, Scott Kornblau. Lasse will provide an update on the events of the quarter and the year, then Scott will continue with an update on our financial results for the quarter and the year. Lasse will conclude with an update on the outlook for the business and market. Following their comments, there will be an opportunity for questions. During this call, we will make certain forward-looking statements to help you understand our business. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in our earnings release and in filings with the SEC, including our 2020 Form 10-K and subsequent filings. During this call, we also refer to certain non-GAAP financial measures, including adjusted EBITDA, which are explained in the net income to adjusted EBITDA reconciliation attached to our earnings release and posted on our Investor Relations website, along with certain other operating data. With that, I will turn the call over to Lasse.
Lasse Petterson: Thank you, Tina. So during 2021, we faced continuing challenges from operating in an environment impacted by the unprecedented COVID-19 pandemic. As vaccines became readily available in the second quarter last year, we started an extensive communications and education program with the goal of having all Great Lakes Dredge & Dock team members vaccinated and protected from severe illness due to the virus. And we continued to adjust operating procedures to minimize the risk of infections and allow us to continue to keep projects on track and vessels operations. I’m very proud of meeting our target of 100% vaccination of all team members in the third quarter last year. And due to our vaccination efforts we have experienced less severe impacts from the virus infections. Throughout the year we avoided team members to be hospitalized and no team member tested positive for COVID-19 from September through early December. To mitigate severe impacts from the virus, we started to make crew rotations, quarantining and testing, onboard visitors ban, disinfection of vessels, more replacement of additional crew when team members tested positive. And in doing so we incurred a $9.9 million cost related to COVID-19 testing, vessel disinfection, crew quarantine and replacement of staff. And we have impacts to project performance due to the crews shortages, vessel dry dock delays and rescheduling and substitution of vessels on projects. Our estimates indicate that the direct production impacts incurred this year is close to, if not higher than the cost mentioned earlier. And we believe firmly that without our actions, the impact on our operations and financial results would have been much more severe. With our organization 100% vaccinated against COVID-19 we were able to return to normal operations during fourth quarter, even with new strains of the virus emerging late November. The vessels continue to follow the planned schedules and with increased direct oversight and supervision on projects and on vessels, we saw overall operational performance improvements on the majority of our projects. We finished the fourth quarter of 2021 strong, delivering a quarterly net income of $24.7 million and adjusted EBITDA of $48.2 million. And in spite of the challenges from COVID-19, we ended the year with an adjusted EBITDA of $127.4 million, which is the third best year in company history. In addition to delivering respectable financial results in Q4, we saw a new milestone in our positioning for the new offshore wind generation market by issuing $197 million contract for the construction of the first Jones Act compliant, rock installation vessel. Delivery of the vessel is planned for 2024. During the year we continued to safely perform essentially critical infrastructure projects in a domestic dredging market as the market for new projects remained relatively strong in 2021. Throughout the year, we've performed major port deepening works in the ports of Portsmouth, Boston, Charleston, Jacksonville, Mobile, Sabine, Freeport and Corpus Christi. We also saw increased demand for our coastal protection projects re-nourishment of coastal beaches that have been damaged from the major hurricane events during the year and additional wetlands restoration projects to help protect the coastline from additional storm damage. Climate change continues to impact our nation. And our coast continues to see damage that is a result of severe storms and rising waters such as, we saw from Hurricane Ida in late-August. The first quarter of 2022, we have already seen two bomb cyclones that brought heavy snow and coastal flooding in the Northeast which caused some project delays for us. Although, these weather events have short-term impacts on our operations the resulting damage adds to the recurring nature and increased long-term demand for dredging services. All the work that we performed on projects continue to meet and exceed the established environmental and safety standards. Our 2021 ESG report is expected to be published in the second quarter of 2022. And we will provide an overview of the initiatives that we undertook and the progress we achieved in environmental protection and improvements. The safety and well-being of our employees and business partners, our community contributions and partnerships, fleet improvements, government practices and our rapid and thorough response to the global pandemic. During 2021, we completed a materiality assessment that will allow us to identify and prioritize ESG issues that are most critical to our organization and our stakeholders. I'll now turn the call over to Scott to further discuss the results of the quarter and the year. And I will provide a further commentary around the market and business after remarks.
Scott Kornblau: Thanks Lasse, and good morning, everyone. Let me start by giving some color on our fourth quarter results. For the fourth quarter of 2021, revenues were $210 million. Net income was $24.7 million and adjusted EBITDA was $48.2 million. Contract revenues of $210 million for the fourth quarter of 2021 increased, $37.9 million or 22% from the fourth quarter of 2020. The increase was a result of more revenue days and higher domestic capital and coastal protection revenue partially offset by lower maintenance rivers and lakes and foreign revenue. Fourth quarter revenue came in $15 million below the low-end of the guidance given on the last earnings call, mostly due to late starts on a few Northeast projects due to inclement weather pushing the revenue into future periods. Current quarter gross profit increased to $53 million from $33.4 million in the fourth quarter of 2020 driven by the increased revenue and strong job performance. Gross profit margin this quarter was 25.2%, compared to 19.4% in the prior quarter and was a few points higher than the guidance given on the last call due to the previously mentioned strong project execution and minimal COVID-19 impacts. For the fourth quarter, we had COVID expenses of approximately $500,000 and virtually no COVID-related impacts to operations. During the fourth quarter of 2021, the majority of our vessels were working as the Terrapin Island and Dredge 53 returned to work after their scheduled dry docks while the Dredge 54 started regulatory dry docking in the latter part of the fourth quarter. Operating income for the current quarter was $36.5 million which more than doubled the prior year quarter due to the increase in gross margin and a decrease in G&A expenses. Fourth quarter 2021 G&A, of $16.4 million came in slightly below guidance and $1.1 million lower than the prior year’s fourth quarter. Net interest expense of $4.1 million for the fourth quarter of 2021 came in at guidance and was down from $6.5 million in the fourth quarter of 2020, primarily due to the lower interest rate on the senior notes, which were refinanced in the second quarter of 2021. Income tax expense for the fourth quarter of 2021 was $8 million compared to $1.7 million for the same quarter of 2020 and net income for the fourth quarter of 2021 was $24.7 million, up from $10.6 million in the prior year quarter. Turning to our full-year results. For the year ended December 31, 2021 revenues were $726.1 million, net income was $49.4 million and adjusted EBITDA was $127.4 million. These results represent a $7.5 million decrease in year-over-year revenue, a decrease in net income of $16.7 million and a decrease of $23.7 million in adjusted EBITDA. In 2021, we incurred over $5 million in costs related to the relocation of our headquarters to Houston and nearly $10 million in expenses related to COVID-19 in addition to the performance impacts, Lasse mentioned earlier, which are not easily quantified but are estimated to be close to, if not more than the expenses we incurred in 2021. Next, we turn to our balance sheet, where we ended 2021 with $145 million in cash, no debt maturities until 2029 and our revolver remains undrawn. 2021 capital expenditures excluding lease buyouts were $100 million, up from $48 million in 2020. Current year CapEx included $30 million for the construction of our new hopper dredge, $18 million for the design and build of the subsea rock installation vessel, $12 million for the construction of the new scows and $11 million for the construction of the new Multi Cat, in addition to $29 million in maintenance CapEx. Looking ahead to 2022, we anticipate revenues, margins and EBITDA to be higher than 2021. Due to our vaccination efforts, we are expecting a pickup in margins as COVID-19-related costs and disruptions should be at a minimum. However, this will be partially offset by having six vessels in the shipyard for the regulatory dry dockings including two of our higher-margin vessels, the Liberty Island, which is currently in the yard and the Ellis Island, which is scheduled to undergo her first major dry dock during the second half of the year. In addition, we expect G&A to increase between $7 million and $9 million compared to 2021. The biggest drivers of the increase are attributed to the ongoing investment in our offshore wind business, higher inflation and labor costs and additional office space in our Houston headquarters. In 2022, we estimate our capital expenditures to be approximately $165 million, consisting of $35 million in maintenance and growth CapEx, $5 million in upgrades to improve emissions, $5 million for non-dredging CapEx, $52 million for the new hopper, $37 million for the offshore wind rock installation vessel and the final payment on the support vessels. $17 million on the Multi Cats and $14 million on the scows. I’ll conclude with some commentary on Q1 2022. So far this quarter, we have experienced some major weather delays on projects from the bomb cyclones in the Northeast and currently have two vessels in the shipyard for the regulatory dry docking. The Dredge 54 should leave the yard towards the end of the first quarter, while the Liberty Island will remain in the yard until the middle of the second quarter. Also later this quarter, the Carolina will begin the emission upgrades mentioned earlier. Assuming no further weather delays, we expect first quarter 2022 revenue to be between $165 million and $175 million and margins to be in the low 20% range. G&A expense should come in between $17 million and $18 million for the reasons previously mentioned and net interest expense should be slightly down from the fourth quarter, as we capitalize more interest with the progress of the hopper and wind vessel new builds. With that, I’ll turn the call back over to Lasse for his remarks on the outlook moving forward.
Lasse Petterson: Thanks, Scott. During 2021, the US Army Corps of Engineers continued to follow their bid schedule and prioritize all types of drag, including port deepening, port maintenance and expansion and coastal protection and restoration projects. And in the year, the domestic market reached approximately $1.8 billion in projects bid. We expect that the 2022 bid market will be as strong as 2021. And we see bids for multiple new phases of port deepening projects in Norfolk, Freeport, Mobile, Sabine and additional phases of the widening of the Houston Ship Channel project that will continue for the next several years. These major capital projects, our Great Lakes can excel with our technical expertise, experience, safety performance and our large diverse fleet. We saw continued support for much needed infrastructure projects and the dredging industry in the Corps 2022 budget that was approved by the House of Representative at a record $8.66 billion, an increase of 11% over the prior year’s level. In the Corps budget, the Harbor Maintenance Trust Fund would receive $2.05 billion, which is $370 million over the 2021 budget appropriation. This allocation from the Harbor Maintenance Trust Fund is part of the Corps budget of $0.66 billion. The US government including the Corps are presently operating under a continuing resolution, with budget approval anticipated before the end of the first quarter of 2022. In September of 2021, our supplemental bill was passed that included approximately $5.7 billion for emergency funding as a result of Hurricane Ida's impacts. In addition, the Congress passed the $1.2 trillion infrastructure bill where the Corps will be granted $11.6 billion in funding to improve the nation's resilience to the effects of climate change, including flood control and waterway dredging. We'll see projects related to the infrastructure bill starting in 2023. Overall, increased funding will drive much needed infrastructure projects forward in the coming years. Scott has already mentioned the fleet renewal projects that we have ongoing to meet the current and future market demands. And in addition we are upgrading the cutter suction dredge the Carolina and the company's largest booster station the buster for the Houston Ship Channel widening project. These upgrades will facilitate reductions of the NOx and particulate emissions by more than 85%. During the fourth quarter, Great Lakes was awarded an additional $135.4 million of new work, which included Phase I of the Houston Project 11 ship channel deepening and widening, resulting in a year-end backlog of $551.6 million stated previously. In addition to this backlog of awarded projects, we ended the quarter with $567.3 million in low bids and options pending award. Including in our low bids pending are two LNG projects that are still pending and notice to proceed by the client. However, we understand that the EPC contract on one of the two projects will start construction of this export facility in the second quarter of 2022. So preparations for dredging will commence soon thereafter and dredging work is estimated to start at the end of the year from potentially in the first quarter of 2023. Post quarter end, we were awarded the Nags Head beach re-nourishment project of $11.6 million and the Avon Village and Buxton beach re-nourishment project for $25.9 million. Both projects were included in low bids pending at the end of the year. In addition, we bid and were awarded the Carolina and Kura Beach re-nourishment projects for $20.3 million in the first quarter of 2022. Now turning to the US offshore wind power generation market, which we are confident will provide Great Lakes and dredging dock, with a strong opportunity for growth. In March 2021, the White House announced new initiatives that would advance the administrations goal, of expanding the nations offshore wind energy capacity, generation capacity in the coming decade by opening new areas for development, accelerating environmental porting, and increasing public financing for projects. As part of that initiative, the Department for the Interior Energy and Commerce committed to a shared goal of installing 30 gigawatts of offshore wind power generation capacity in the US waters by 2030. In addition, in January 2022, the White House announced plans to auction more than 480,000 acres in the New York plight for six new offshore wind energy leases, with potential build-out capacity of up to 7 gigawatts. Last quarter, we signed a $197 million contract with Philly Shipyard to build the first US-flagged Jones Act compliant, inclined four-pipe vessel for subsea rock installation for wind turbine foundations. This new vessel, which has been designed to meet the highest environmental classifications, will be equipped with battery power, shore-power connection systems, and be capable of burning biofuel, which will reduce the ships CO2 footprint. Designing our new vessels to the highest environmental standards and retrofitting our existing fleet with emissions reducing equipment, demonstrates our commitment to improving our overall environmental impact. In parallel to the four-pipe vessel build, we are bidding on a multiple of offshore wind farm projects with rock installation planned for late 2024 and beyond. Major wind farm developers like Equinor, Dominion, Orsted, Alan Grid and US Wind has already issued RFQs, and they are in the process of selecting suppliers for their wind farm developments. Major project awards are expected this year, some potentially in this first quarter of this year for the wind farm development off the coast of New York. In addition in December of 2021, Massachusetts awarded Commonwealth Wind to Alan Grid and Maryland awarded Momentum Wind to US Wind, combined capacity build-out of 2 gigawatts. Both projects are currently in the tendering phase, with contract award expected later this year. Additionally, as our offshore wind industry is developing here in the US, the global offshore wind market is moving with more than 200 gigawatts of offshore wind generation capacity expected to be installed globally in the next 10 years, which we expect will keep the large international heavy-lift installation contractors very busy for the next years keeping vessel and equipment demand high. In conclusion, we are entering 2022 still uncertain to the challenges the pandemic will present. However, we are confident in the decisions we made, the initiatives we took, and the lessons learned this last year, and believe this has positioned us to perform well both financially and operational. Great Lakes Dredge & Docks continue to focus on strong project execution and believe strongly that a safe working environment for our crews and employees is a core value that results in positive returns to our shareholders. We are optimistic that domestic dredging market will remain strong in the coming years and the ongoing developments in the US for offshore wind generation will provide an avenue for growth for our company. And with that, I'll turn it over for questions.
Operator: Thank you.  Our first question comes from Jon Tanwanteng of CJS Securities. Your line is open.
Pete Lucas: Yes. Hi. Good morning. It's Pete Lucas for Jon. You guys covered a lot, and thank you very much for that. Just a quick follow-up question on the margins, you guys did a fantastic job with COVID impact last quarter, and mentioned that margins would be down. If I heard correctly, margins down a bit this quarter but up for the year. So, just trying to understand that, and if we should think about 25% gross margins as sustainable going forward? 
Scott Kornblau: Yes Pete. Yes, as I mentioned Q4 was a great quarter minimal COVID impacts and minimal shipyard stays as well. The reason Q1 will be down is because of the regulatory surveys that we have scheduled. As I mentioned, there's two ongoing which will last the full quarter one of them being the Liberty Island which drives margin. Also mentioned that the Carolina will be down for a bit as well as we start the emission upgrades later on this quarter. So, even though we will see minimal COVID impacts in Q1 we will have lower margin just because of the timing of the shipyard. And then I also mentioned the weather that we saw in the Northeast in January also would have an impact. 
Pete Lukas: Great. Thanks. You did a great job of laying out your CapEx going forward. Can you just talk on a more high level about how inflation is affecting the vessel pipeline? And how we should think about that over the next year or two?
Scott Kornblau: Yes. So, the projects that we have right now the bills on the wind vessel and on the hopper those are fixed price when it comes to inflation. So, we're locked in there. We also have priced options on both of those. So, I think we're pretty well insulated from inflation on those. It's something that we monitor on our ongoing maintenance CapEx and try to be strategic in how we order stuff but the majority of the spend is on these fixed price contracts.
Pete Lukas: Great. And the last one for me. You went through a lot of the bills that have been passed and the impact expected for you guys. Can you just talk about are there any bills that we should be watching that still need to be signed, or is everything pretty much currently in the infrastructure bill and Army Corps budget?
Lasse Petterson: Most of it is in the Army Corps budget. As you know we have over the last year been able to get 100% of the revenues that goes into the Harbor Maintenance Trust Fund being made available for the Corps to execute dredging and maintenance dredging in the ports. So, that's a great addition. So the Corps record budget is where we see it land for this year. The Senate Bill covering the Corps of Engineers budget was slightly higher than what was suggested by Congress. So, all this should come to a resolution here in the first quarter with the budget discussion on going in Congress. 
Pete Lukas: Great. Very helpful. Thank you. I'll jump back in the queue.
Operator: Thank you. Our next question comes from Adam Thalhimer of Thompson Davis. Your line is open.
Adam Thalhimer: Hey good morning guys. Congrats on a strong Q4.
Lasse Petterson: Good morning Adam.
Adam Thalhimer: Hey Lasse I just wanted to pick up on that last question. You said the Senate bill is slightly higher than Congress. Clearly, the funding is there. I'm just curious what is the backlog of Corps projects? Like how quickly can they increase RFP activity?
Lasse Petterson: Yes. Clearly, the projects that we are involved in takes a while to get to the bidding stage. You have to go through environmental permitting and also the assessment that the Corps do on the value that the projects bring to the economy. So, we are expecting that the projects that are coming out from the $1.2 trillion infrastructure bill will not hit the Street for us until beginning of 2023. So there is a time lag but the Corps is very -- the discussions we've been having with the Corps of Engineers are very focused on making sure that they are processing the projects and getting the projects to the dredging industry as quickly as they can and this is a high priority within the Corps.
Adam Thalhimer: Okay. And then your new hopper dredge which will come online Q1 of 2023. Is that incremental or is it replacing an older vessel?
Lasse Petterson: We see that as incremental.
Adam Thalhimer: So, the timing could be good. 
Lasse Petterson: Timing is good. And as you know, we have an option to build one more of the hopper dredges, which we will make a decision on in Q2 this year. And that additional dredge could be incremental capacity, but we do have three older hopper dredges which are coming up. They’re really good revenue earners for us at this point in time. But as you know the -- when you go through drydocking of older vessels the cost goes up, and at what point in time it comes on to retire these old ladies and they’re very small compared to this new dredge that we are looking at.
Adam Thalhimer: Okay. And that was for the offshore wind Lasse or for --
Lasse Petterson: No, this is what dredging. It’s an additional hopper dredge. We have an option to build a copy or the one that is now being built at Galveston Island, so we could build a sister vessel. And we have very good experience with operating sister vessels. We have the Dodge and the Cox  when they were on a project very efficient and we can see the same happening here with these two vessels.
Adam Thalhimer: Got it. Okay. And then last one for me. I guess a question for Scott. With the revenue deferral out of Q1 into Q2 and then the drydocking schedule in the back half, kind of feels like Q2 might be a strong quarter for you guys. So you already gave Q1 guidance maybe up a little bit in Q2 and then down a little bit in the back half to get to the full year guide. Is that fair?
Scott Kornblau: Yes. I mean a lot of it’s going to depend on when we actually do the surveys. So, I’m always a little leery to this far out kind of go quarter-by-quarter, because we’ll be as efficient as possible in when we bring the vessels into the yard. So, let me give you kind of some more color on the next call as we look to Q2 just to make sure that the cadence on the way that we see the surveys falling still plays through. But that’s really what’s going to I think drive the ebbs and flows for this quarter will be the timing of the surveys.
Adam Thalhimer: Got it. Okay. Thank you, guys.
Operator: Thank you. And next we have DeForest Hinman of Walthauser & Company. Your line is open.
DeForest Hinman: Hey. Thank you. They got my name and company wrong a little bit, but you guys know who it is. Can you give us -- I have a couple of different questions. On the G&A expense increases, clearly not nominal. Can you just give us a little bit more color in terms of who we’re hiring and what we hope to accomplish with these new people that we’re adding and maybe why it’s necessary.
Scott Kornblau: Yes. So the labor commentary I think it’s twofold. The biggest driver of it is we are going to be investing and building the wind business. It was always in the plans now that we have executed the contract to start building a vessel and are in conversations to actually put that to work. We have got to start building up the team. It’s something we wanted to wait to do until we had made the commitment to build it and started having some advanced conversations to put it to work. So that is what’s driving most of it. And then the other piece of it it’s not necessarily new hires. It is the labor market that we all hear about and it’s on the front page of every paper to retain talent there will be some increases. So we just want to be very upfront and transparent that we see in order to keep our good people and attract them on to the wind side, we are going to have to pay where the market is which we all know is increasing.
DeForest Hinman: Okay. And then just to help us understand, we’re entering a new industry. It’s new for the US. I know there’s been some pilot projects done on offshore wind. Is the talent there? Are these people like Lasse, we’ve got to find in Europe and bring them into the US? How are we approaching this?
Lasse Petterson: Yes. As you know, we have hired Eleni Beyko into our organization to develop this business for us. She has extensive offshore wind project background from the North Sea. And we are partially taking people out of our dredging business and putting into this team, but we are partially recruiting from the market and clearly to find people who have offshore rock installation experience and that activity has happened in Europe. So we are looking at recruiting some expertise from Europe. But we are also having a cooperation on the first project that we have in front of us. We have a joint venture with the world-leading rock installation contract of the North and we are going to make sure that we are learning from their experiences and as we execute that project. 
DeForest Hinman : Okay. And then when we think about the capital deployment on the rock fall vessels and you spent some time outlining, it sounds like just a further increase in the development of offshore wind in the US. And then you spoke about these RFQs for these projects. Do those look different than a regular dredging contract? And I know there's a private and there's the Army Corps piece. But are these agreements over the course of a whole project? Are they commitments for a certain amount of vessel capacity that would be exclusive? Can you just help us understand what those contracts are going to look like if we win them? 
Lasse Petterson : Yes. We selected this segment of the offshore wind generation market, because it has similarities to what we do in dredging. We are for most parts bidding unit costs of installed tonnage on the seabed, which is similar to what we do in dredging, where we are being paid on the unit tons of cubic yards of material removed from the seabed. So it is a contracting business. The clients are different. The clients here are energy companies oil and gas companies. We know how to contract with them. We've done that before in our international business in Bahrain and in Australia. So the contract format is different, but the way of contracting and the way of operating is similar to what we do in the dredging business.
DeForest Hinman : Okay. And in terms of the thoughts around potentially a second vessel on the rock side, is there any interest from any of these developers in JV-ing on a vessel? I believe Dominion one of their lift vessels they were going to pay for that themselves. Is there any interest in a relationship like that, or is this something we would consider to do only with our own capital?
Lasse Petterson : I'll let Scott discuss the financing of the first and second potentially second vessel. It is our plan to develop this capability owning the vessels and executing projects for the clients and not have the clients on the ownership side that we had discussions and feelers out early in the market a year and a half ago and we decided to go ahead with investing in the vessel by ourselves. The market is going to be very strong. There's huge interest from the developers for using this vessel, which is built in the US, operated by US citizens and owned by a US company. So it's a very strong stepping stone for us to be part of this market.
DeForest Hinman : Okay. Scott, is there anything extra?
Scott Kornblau : Yes. I mean, I would say, from -- obviously, we've got a pretty robust new build program right now, but we also have a robust balance sheet. I think we're in really good shape from a liquidity standpoint $145 million of cash undrawn revolver. We do have a very favorable payment schedule on the wind vessel. About half the payments are due during the final 12 months of the build. So sit here today I’m comfortable with our current liquidity and we'll just fund it with that and future cash flows. That being said, I've been exploring a whole bunch of different financing options. I just want to know what's available, but I think it's very unlikely at least for this year that we pulled the trigger on doing any additional debt. Only caveat to that is if we do decide to pull the trigger and do a second hopper or do a second wind vessel, we would obviously have to relook at that.
DeForest Hinman: Okay. That's helpful. And then incremental positive news, obviously on the LNG projects. You mentioned potentially a first quarter 2023 start. Can you just delineate how much revenue is tied to the project that you think is going to start next year?
Lasse Petterson: This project is dependent on the financial go ahead from the developer. So they need to go through RF financing round and make sure that they secure the financing for the project. In the meantime, they have started out the EPC contractor who is going to build the facility to start doing preparatory work. And what follows very shortly after that is the dredging or the preparation for the dredging, which we anticipate will start in second half of this year. And then with the dredging commencing early in 2023. Roughly, the size of the contract is in the $100 million to $150 million range and that revenue will happen mostly in 2023. It may go into 2024.
DeForest Hinman: Okay. Thanks for taking all my questions.
Lasse Petterson: Thank you.
Operator: Thank you.  Our next question comes from Poe Fratt of Noble Capital Markets. Your line is open.
Poe Fratt: Good morning, Lasse, good morning, Scott, good morning, Tina. If you could just talk about the impact of the LNG, go ahead with the EPC contractor. Would that mean that you'd move $100 million to $150 million out of low bids pending award into backlog, or is that -- can you just talk about sort of mechanics of when you potentially would move that low bid pending award into backlog?
Lasse Petterson: Yeah. You're absolutely correct. Once we get that contract issued, which we depend -- judging from the developments on that's happening here would probably be a second quarter or sorry third quarter event. But as I said, it is dependent on the developer making the final investment decision.
Poe Fratt: Okay. And then could you highlight whether you -- what kind of large bids you have outstanding right now looking at sort of the first half of the year. We -- I was thinking that the second phase for Houston would be potentially out. And then I was hearing there might be some work in New York. And can you just maybe highlight, what sort of large bids you have outstanding right now that you think might materialize over the first half of the year?
Lasse Petterson: Yeah. I can do that. So today, we are submitting our bid for the Houston Ship Channel, the second phase, which is a large contract. And then there's an RFP. So we will go through as we did with the first phase, negotiations and discussions on options. But hopefully, we can get that contract into backlog late this quarter or maybe early next quarter, if we are successful. Other projects that are coming on the capital side, we have the Norfolk Harbor deepening project that is continuing, which is coming up with further phases and expect that to bid in Q3. We are looking at some work in San Juan capital projects maybe towards the end of the year. It’s a large deepening project in San Juan. We have the Mobile deepening project it’s ongoing. We are looking to bid the Phase 4 of that project in Q2 -- late Q2 maybe. And then we have Sabine-Neches, the Anchorage Basin which is a large capital project in Q3. Corpus Christi Phase 4 coming potentially in Q3 this year. And then we have some large coastal protection and maintenance projects throughout the Northeast the Southeast region and the Gulf. 
Poe Fratt: Great. That’s really helpful. And then I missed the actual award number for the fourth quarter. And then it sounds like you -- well you did list out a lot of the awards that have hit so far in the first quarter. Do you have a running total for the first quarter? 
Scott Kornblau: Yes. Hey, Poe, it’s Scott. So far for the fourth quarter we’ve added $58 million. 
Poe Fratt: For the first quarter?
Scott Kornblau: Correct. And in Q4 the awards were $135 million. 
Poe Fratt: Okay. Great. And then I guess Scott I’m not sure this is a fair question, but I’ll just ask you first quarter under your belt was a really good quarter. Is there -- have you been surprised by anything as you’ve got time under your belt are there any areas that you’d like to highlight that need improvement? Anything, sort of, from a qualitative standpoint that you might want to talk about as you start your CFO tenure at Great Lakes. 
Scott Kornblau: Yes. Poe they didn’t leave much for me to clean up when I came here. The company has done a very good job of rightsizing the business and the balance sheet. So I’m not going to make changes just for the sake of making changes because I think we’re in really good shape. Where my focus is now is to be able to maintain the financial discipline while we still grow this company and upgrade the fleet and explore and go into the wind business. So I didn’t have -- I don’t get as much fun cleaning something up as maybe other CFOs coming into a company just because of the position that I took over when I came here. 
Poe Fratt: Great. Thank you so much.
Operator: Thank you. I see no further questions in the queue. I will turn the call back over to Tina Bakinkus for closing remarks. 
Tina Baginskis: Thank you. We appreciate the support of our shareholders, employees and business partners and we thank you for joining us in this discussion about the important developments and initiatives in our business. We look forward to speaking with you during our next earnings discussion. Thank you. 
Operator: This concludes today’s conference call. Thank you all for participating. You may now disconnect and have a pleasant day. Speakers, please stay on your lines.